Operator: Good evening. This is the Chorus Call conference operator. Welcome and thank you for joining the Campari Group Full Year 2024 Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] Today's call will be hosted by Mr. Simon Hunt, Chief Executive Officer; and Mr. Paolo Marchesini, Chief Financial and Operating Officer. I will now hand you over to Mr. Marchesini. Please go ahead, sir.
Paolo Marchesini: Good evening, good afternoon to everybody. I am pleased to be here again with all of you to review our 2024 results and give you our initial perspective for fiscal year 2025. But more than that, I'm happy to be joined here by Simon, whom I'll leave the floor to in a few seconds. I wanted to highlight that we have intentionally tried to keep this presentation as short as possible to leave ample room for questions. Of course, and as always, Chiara and the whole IR team, they are happy to connect after our call to further deep dive with all of you in the upcoming days, if needed. Simon, floor is yours.
Simon Hunt: Fantastic. Thanks Paolo. I'm very happy to be here with you today. As I'm sure you all know, this is my second month in this role, and it's been a busy, but exciting period. I've had the chance to meet with many of our colleagues around the world already and deepen my understanding of Campari's business. And Campari has impressive competitive advantages, including its culture and people, shareholder structure, and enviable brands. And I believe I can be in different optics to support in extracting its full potential. And I'm very much looking forward to meeting many of you in the next weeks or months in person and sharing more regarding our roadmap ahead towards the summer, where we'll be in a position to give you deeper perspectives. Now, a short summary of how we see the environment and our positioning. As all of you know, 2024 was a tough year, marked by significant macroeconomic and geopolitical volatility, some of which remains today. And it's created pressure on our sector across all regions in different forms, leading to an impact on consumption patterns, as well as significant destocking across the trade. On top of this, we were faced with very poor weather conditions, especially in Europe, a tough mix of events to manage. All of this created a challenging backdrop and low visibility during the year. But despite this, we delivered positive results with plus 2.4% organic top line and plus 5.2% total growth with ongoing outperformance versus the sector. I understand the expectations for 2024 at the beginning of last year were higher. But looking back at everything that happened, this is, in my opinion, a solid result and really shows the resilience of our teams, our brands and our capabilities. During the year, we executed the planned investments to further strengthen our frontline, our systems, and our supply chain capabilities, which clearly had an impact on profitability given the more muted than expected top line growth. At the same time, this period gave us the impetus to look internally to evolve how we work and focus on increasing efficiency and reinforcing our focus on our priority brands for the future. The solid performance in Q4, both in terms of top line at plus 3.4%, as well as gross margin of 40 basis points, was driven by better trends in Europe and aperitifs following the weak peak season, which also supported by the positive impact of COGS, especially due to the agave costs. Current low visibility on how long these cyclical headwinds will last means, we view 2025 as a transition year. This means ongoing softened top line growth while we continue our full focus on efficiency and execution. We are doing this without compromising our growth investments, both in terms of the commercial teams, as well as brand building, while focusing on operating deleverage and effectively managing our balance sheet. To summarize, this has been a challenging and will continue to be a challenging year in 2025, but we operate in a highly profitable and attractive sector, and our unique positioning makes us very confident for the future. We'll execute strategic actions to deliver long-term sustainable market outperformance with our existing unique brand portfolio. This means digesting our acquisitions and growing the brands we have and easing off M&A for now. We're going to remain focused on what we can control, like efficiencies, cost control, execution and take actions to mitigate impacts what is beyond our control, like tariffs, which we'll comment more on later. Before deep diving into '24, we want to start by giving you a bigger picture. We've been able to record strong top line growth for the last 20 years through evolving market conditions. And this has been achieved by our focused approach, leveraging a strong brand portfolio. Just to highlight here that of course, aperitifs is a critical part of that story and it will continue to be. But in the meantime, we have diversified and strengthened our portfolio. For example, the story of Espolòn starting with almost nothing and now being a significant contributor to the group's performance and an accelerator of growth. Totally, these last 5 years have been disruptive for the sector. But at the same time, on aggregate, it allowed us to reach bigger scale than our normal run rate pre-COVID rate would have. Our top line reached $3.1 billion, 4 times its level 20 years ago. Our pre-COVID run rate of plus 5% would have meant €2.5 billion. That's an additional €600 million we have added to our scale in this period. Following the transition period in '25, we believe our growth story and potential to gain market share is solid for the medium term. We still have low penetration across many geographies. We have an enviable brand portfolio that is aligned with where consumer trends are moving, combining power icons in aperitifs and distinctive brands in high-potential categories, like Espolòn. With the investments we've made to enlarge our route-to-market footprint and build capabilities with our new House of Brands model, we are now positioned well to benefit from the evolution of consumer trends in our sector in the upcoming period. So now let's have a look at '24 trends in more detail. Overall, we recorded a resilient performance with 2.4% organic and 5.2% total growth, the latter mainly due to the additional contribution of Courvoisier with limited FX impact. In terms of regions, we've seen resilient growth in both of our main regions, the Americas and EMEA. Now, moving to the brands. First, a state you'll see a different composition of brands here than in the past and for the rest of the document, as we've now transitioned to the previously announced House of Brands structure. The main growth drivers have been the houses of our Aperitifs and Agave with plus 6% and plus 10% growth, respectively, as well as the House of Cognac & Champagne with plus 2%, of course, excluding Courvoisier since it's in perimeter until May this year. In terms of sellout versus sell-in, we have recorded balanced trends across our major regions with solid ongoing performance driven by our key accelerator brands, including the aperitifs and Espolòn. In the U.S., we outperformed across all channels in sell-out, plus 2% outperformance in off-premise, plus 4% points in NABCA and plus 6 points in a strategic on-premise in the world's most profitable market. And we did this while maintaining pricing discipline despite the market pressures. In EMEA, Germany has been the strongest market, while Italy and France had a challenging peak season due to the poor weather. U.K. was positive on sell-out despite the impact of the Jamaican rum supply shortages mainly driven by the aperitifs. So focusing on the Americas, of total organic growth of plus 4%, the U.S. was stable, impacted by the subdued market context. In particular, Q4 had a tough comp with a base of plus 13% last year, leading to a negative Q4 on a year-on-year basis. While Apple and Espolòn saw solid growth, plus 12% and plus 11%, respectively. Overall, growth was brought down by pressure on SKYY and some softness in Wild Turkey. In Jamaica, Q4 saw a return to growth after the impact of the hurricane on consumption and also on local consumption in Q2 and Q3. The plus 1% annual growth we recorded would have been mid-teens without this impact. Production is now back to normalized of February and our environmental investment, the Dunder water treatment facility, will be finished in Q2, will make us more resilient to future potential climatic shop. The rest of Americas continued its solid performance in Q4 and closed the year with plus 14% mainly driven by the Brazilian brands, Campari and Aperol. And this clearly shows the potential of our brand is truly widespread across the Americas. Now moving on to EMEA. We recorded plus 3% organic growth for the year with a catch-up in Q4 following a challenging peak season. All countries were positive in Q4, except for the U.K., which was flat. And focusing in on Italy. We've already explained the three key reasons for the performance in 2024. But just to recap, we have a commercial dispute in Q3, around €10 million impact. We had destocking in the trade due to subdued consumption patterns and the cost level. And finally, we had poor weather conditions in the peak season, as you know. As we stand today, the first is resolved. Stock in the trade is at healthy levels, although there are still some macroeconomic pressures. And as for the weather, we'll see how the season develops this year. In any case, the brand health and strength of our portfolio remains strong. And one other important point is that the other countries in Europe, which contribute 15% of our overall sales, continued to grow strongly with plus 12% organic growth in 2024. The biggest drivers are GTR in Greece, but also other countries like Spain and the Netherlands further reinforcing the market expansion opportunities for our portfolio across EMEA. Okay. I'm moving on to APAC. And so 2024 was marked by both external challenges like the challenging operating environment in Australia and China as well as negative impact of some of our own actions, like the route-to-market changes we've implemented. Overall, we recorded minus 6% organic growth in our smallest region, but with Q4 returning to growth with plus 4%. Australia, in particular, was impacted also by our decision to decrease co-packing activities. Excluding which, our full year performance would have been flat with growth driven by the aperitifs, offsetting some of the pressure on the Wild Turkey RTD that we've seen from white spirit RTDs. And to benefit from this trend, we've launched our own Espolòn RTD, which is small but growing nicely off a small base. In the rest of APAC, China and India are contributing positively in Q4 following route-to-market changes, which weighed on performance previously; and brown spirits, including both bottle and RTD formats performing well across Japan, China, off a small base. As I previously mentioned, we've transitioned to the House of Brand structure as of 2025, and this is a structure that I believe is very conducive to a more focused and structured growth among our categories while also creating efficiencies. This way, the MDs of the houses would champion their brands, while the region can champion their markets, creating a healthy tension between the two and also allowing us to better leverage geographic expansion opportunities while optimizing brand-building investments. So first, look at the House of Aperitifs. We had a solid performance in Q4, which pulled the full year organic growth to a solid plus 6%, helping to offset some of the impact of the weather-challenged peak season. Aperol had double-digit growth in Q4 driven especially by the US, Germany and Italy, its top three markets, indicating that its brand health is strong and healthy. We'll dive more to this in the next page. Campari closed the year with plus 9% growth driven by the Americas as well as some of the priority markets in EMEA. This shows that the Negroni trend and the progressively increasing Campari spritz trend is continuing. And Crodino, our non-ALK, continues to grow off a small base, but we'll focus more here in the future. The rest of our aperitifs are also growing nicely, supporting our leadership position in the aperitif category globally. To give you a more holistic perspective on the positioning of Aperol and the potential for growth going forward, we included on this page a few additional details. In the first chart, you can see the increasing diversification of Aperol over the last 10 years. From being largely Italy-heavy, the competition has become more balanced over the years with the U.S. and new geographies becoming more important. However, the top six markets still contribute 70% of the total. And while we believe there's still a significant opportunity to grow in those six markets, we are also just starting to leverage the route-to-market capabilities around the world in new markets. On the next chart you can see that we still have a significant opportunity to drive awareness and trial, especially in the US, biggest market. But even in parts of the country where we've been activating for longer, the awareness of the brand is still very low. One in two US consumers have never heard of Aperol, which is a massive opportunity for us. Another important indicator is per capita consumption, especially compared to our most mature market, Italy. Since 2019, there is a solid evolution and improvement in per capita consumption across the largest six markets, but the levels are still low. Again, focusing in on the US, you can see that overall, it's very low. And also in the 10 strategic states where we've been focusing, the per capita consumption is still below 10% of the per capita consumption of Italy. Just to put it in context, if the US was to get from the 4% that it is today to 20% of the Italy's Aperol per capita consumption, the additional volume generated would mean net sales of Aperol globally would be between 45% to 50% higher just on achieving this in the US alone, let alone all the opportunities we have in other markets around the world. But with that said, of course, in a challenging 20'24 period, Aperol also got impacted to a certain extent. Health is in place. The profit pool is huge, including not only spirits but also wine, beer and RTDs. And it hits perfectly in the consumption occasions, which are becoming more and more important in line with consumption trends. So when you look at the potential coming out from market diversification, awareness, penetration and the digital presence of the brand, the medium- and long-term opportunity to replicate the success that we've had in Italy across other markets is crystal clear. In terms of our performance in whiskey, there was the impact of the challenging category trends and competition in 2024, while Turkey has been especially impacted in its core market, Australia. However, there have been some positive trends in other markets and in Russell's Reserve. For the Jamaican rums, the main impact of being supply constraints and the impact of the hurricane on local consumption in Jamaica. Now that, that is resolved, we expect more stabilized trends going forward, and the underlying brand health of the portfolio remains strong in its core Jamaican market. In the House of Agave, clearly, our focus is on Espolòn, which grew plus 14% this year despite the impact of normalization of wholesale inventories in Q4. So let's move on to the next page to deep dive into Espolòn a bit further. Espolòn has been a meaningful success story in a rapidly growing and crowded tequila category, growing from almost nothing 10 years ago and gaining 12 points of rank to become the number seventh largest tequila with significant outperformance of the category in the US, its core market. It is uniquely positioned at the right price point and right quality profile, and the brand power also remains strong as it's perceived cool and innovative. At the same time, it's got about a 4% volume market share. So it's still relatively small compared to the larger brands in the category, signifying potential room for further growth. You can also see from this page that the share of other markets in total is still very limited at about 9% of total Espolòn sales, but they've started to grow very far in the recent period with increased attention on tequila and other markets such as UK, Canada and Australia as well as European markets like Italy. For example, recently, there's more and more focus on tequila and the Paloma in Italian articles, which fits very well with the refreshing highball alternative in the growing consumption occasions. And we're going to be focusing on being one of the frontrunners to lead this trend internationally. Lastly, on the varying composition. The increasing relevance of the brand is also evident from the increasing share of the more premium and higher-margin SKUs like Reposado and Añejo in total, up from 30% in 2019 to 41% today. For Grand Marnier, we saw subdued growth in a competitive and muted market backdrop as we started to position the brand more effectively among its main consumer pool in the U.S., which recorded plus 3% growth during the year via partnerships, including a new one with Grammy Award-winning rapper, Future. Courvoisier, which as you know, is still in perimeter given its consolidation as of May 2024, will be included in our organic growth in May this year. The cognac market remained challenging across its main markets, the U.S. and China, in 2024. And right now, we are planning to phase in our launch plans given the market backdrop. In the meantime, we've created a structure and brought in important experts into our team. Our new MD of this house has extensive experience in one of the other important brands in the category. Our CMO and Head of Strategy, the same in the other important brand, and we also have the strongest bench of cognac experts on our Board. For us, Courvoisier has a clear rationale. If we want to be in this category, and we do, we had to acquire one of the scarce brands, and that has a cost. This is an acquisition for the long-term in a category that we believe in, and it will take time to turn around. But we have on experience, and we believe we can do it. For the rest, I won't comment too much, just to say that 25% of our overall portfolio is currently classified as local portfolio, given their geographic concentration, which by the way, includes also agency brands, co-packing and bulk activities, which make up 15% of local portfolio and corresponds to about 4% of group sales. We've already shared we view our intention for some portfolio streamlining in the upcoming period, and we'll share more on that when we can. SKYY remains an important part of our portfolio as we redefine its positioning. So now, I'm going to hand back to Paolo to go through the financial review.
Paolo Marchesini: Thank you, Simon. So if you follow me to page 17 of the of the presentation, as you can see at the top chart, notwithstanding a very tough year that we have to say has been negatively impacted by poor macro weather conditions, some severe supply shortages and a very painful commercial dispute in Italy as well as some disruption due to change in leadership at the back end of the year. So in a perfect storm environment, the group still delivered an EBITDA adjusted that was down just by 2.5%. Now if we carve out the negative impact deriving from additional depreciation and amortization, due to the extraordinary CapEx program, the EBITDA was actually in value up organically by 0.5% in such difficult conditions. Now the performance is a positive 2.4% net sales growth, a positive growth in value. Gross profit increased 2.4%. A&P has been stepped up in value by 1.1%. And so contribution after A&P was up in value 2.9%. Problem sit on the SG&A that were up in 2024 by 8.6% in value, but we want to highlight the fact that 55% of such SG&A increase was attributable to investments aimed at strengthening our commercial and marketing capabilities as well as the creation of a new in-market company. So once you carve out that, the rest is mere inflation on existing structural costs. And of course, at the back end of the year, we've announced the cost-cutting initiative that we're implementing as we speak. That is aimed at containing SG&A as a percentage of revenues by 200 basis point by 2027 with a first year of 50 basis point SG&A as a percentage of revenues containment. Now, if we move on and look at the margin performance, we signaled a satisfactory gross margin delivery for the full year on the back of a very positive fourth quarter gross margin as a percentage of sales recovery accounting for 40 basis point. Here's some of the tailwinds that we were expecting for the year 2025, so for current year, have already materialized at the back end of last year, namely roughly €10 million. Now, if we wanted to highlight the key drivers of the flat gross margin delivery as a percentage of revenues, we signal a positive pricing achievement, which is extremely good given the intense promo backdrop. And such positive pricing achievement had us offset a number of headwinds. First and foremost, the negative carryforward effect into 2024 coming from the absorption of 2023 high-cost safety stock; secondly, quite a negative sales mix in critical operatives the peak season, Q2 and Q3; then clearly, a lower absorption of fixed production cost due to the combination of lower volume produced on one end due to the absorption of safety stocks as well as the negative impact of higher depreciation due to past extraordinary CapEx in that expanding our production capacity. On a positive note, we signal the Fed Espolòn is on track in fourth quarter of last year to achieve our goal of hitting break-even gross margin as a percentage of revenues for the Espolòn bran d vis-à-vis group gross margin as a percentage of revenues. On the A&P front, A&P has been contained by 20 basis point in full year due to, as I said, the lower activation programs in peak season -- in the peak season, which was clearly negatively impacted by very poor weather conditions. Now, we flag the fact that in the midterm, we aim at stepping up the A&P as a percentage of sales to the 17 -- to the 17.5% bracket. That is where we see A&P trending in midterm. Now, if we move on to the following slide, starting from the sizable operating adjustment, we flagged €212.6 million of operating adjustments coming from restructuring and reorganization cost accounting for €102.6 million. This is the whole cost for the three-year cost-containment program. We've then impaired intangibles so brands by €56.8 million. There is a cost tied to the business reset in Asia of €26 million, some M&A fees for the Courvoisier transaction accounting for €12.3 million and other many operating -- minor operating adjustments relating to legal disputes and other indemnification. Now if you follow the line of adjustments, we flagged €55.1 million of non-recurring impairment of investments. This is impairment of our stake into Dioniso, which is the holdco of Tannico and Ventealapropriete.We then have on the back of such -- operating and adjustment and non-recurring impairments of investment, some tax relief, positive tax impact of €92.8 million. And overall, the overall bottom-line impact of such adjustments accounts for €174.4 million after tax. You know, the €174.4 million can be broken down into two buckets. The non-cash impact of it is €107 million. And then we have €67 million of cash flow outlays, of which €55 million have already occurred in year 2024. So they are already factored into the year end net financial position. The remainder, which is €12 million, is for year 2025 and 2026. And we signal a negative impact of €37 million in 2025 and a positive impact of €25 million in fiscal year 2026. Among the other many things, the total financial expenses came in at €79.9 million, spot on with our guidance. And the average cost of net debt came in at 3.8% versus 3.3% of last year as we have already anticipated. Now on the tax front, beyond -- over and beyond the tax relief of €92.8 million, we signaled a recurring tax rate of €29.8 million, which is up 190 basis point versus a year ago, due to a combination of factors: first and foremost, an unfavorable country mix and the completion of selected trademark amortization for tax purposes as well as the discontinuation of the incentive tax incentives in Italy by our new government. The recurring cash tax rate stood at 26.6%. If we move on to the following page, page 19, we highlight -- I said before the fact that EBITDA adjusted, the recurring one is up 0.5%, €3.7 million vis-à-vis -- versus a year ago. The recurring cash flow from operating activities before any change in operating working capital came in at €705 million, up €122.7 million or 21.1% due to cash-phasing effects in – in primarily Italy. The recurring free cash flow came in at €586 million, up €519 million, primarily due to positive delta in the change of operating working capital of year 2024 versus 2023 with a positive change in operating working capital, so a reduction in operating working capital of €78 million in 2024 versus an increase of operating working capital of €362 million in 2023. Interest paid marginally higher due to the higher indebtedness and maintenance CapEx, up €27 million to the level of €139.8 million, call it €140 million. Now we signal additional extraordinary CapEx negatively impacting fiscal year 2024 for €300 million, including the purchase of the new headquarter building in Milan costing €96.9 million. For year 2025, we flagged the fact that the extraordinary -- the multiyear extraordinary CapEx program comes to an end with the tail-end effect of extraordinary CapEx for €200 million. We signal a recurring free cash flow conversion, which is quite high, 80%, and a free cash flow conversion before change in working capital is the sustainable one at -- prospectively at 69%, in line with the five-year average of 66%. If we move on to the following chart, a few key indicators. We see -- key performance indicators, we see a very solid management of our operating working capital lever with operating working capital as a percentage of net sales on a like-for-like basis, so excluding Courvoisier, coming down from 37.9% to 34.6%, so a compression of 330 basis point. That is coming on the back of the delivery of €122 million of finished goods compression, as already highlighted, which has been partly offset by a step-up in aging liquids of €107 million to support the future dement of our whiskey and rum portfolios. Still, within the operating working capital, we plan another positive impact of -- net impact of €72 million coming from an increase in payables of €126 million and shrink in -- an increase in receivable -- sorry, an increase in receivable of €55 million. Then on the CapEx, we've said €440 million was the total amount of CapEx spent in 2024 with €139 million maintenance and €300 million in cap in extraordinary. Free cash flow conversion, as I said, extremely strong net of operating working capital at 69% and the recurring free cash flow at €586 million, positively impacted by a change in operating working capital. The total free cash flow turned positive in 2024 with a cash increase of €173 million. Now on a positive note, you see that we've managed to contain the net debt-to-EBITDA ratio by 0.3 turns from 3.5 times to 3.2 times. And we're expecting to continue our deleverage pattern also in year 2025, notwithstanding the tail-end effect of the €200 million extraordinary CapEx. I think this is it on the numbers. I would hand back to you, Simon, for the ESG piece.
Simon Hunt: Thanks, Paolo. I'm going to do a quick summary of the ESG initiatives, and quick not because it's not important. I confirm that we're fully committed to our ESG journey, but I think quick in the interest of time to leave a bit of space for questions. So far, we've recorded significant steps in this journey. We continue to have ambitious targets and developments, which will continue. One of the key developments is that for the first time reporting a double materiality assessment in line with CSRD requirements, and you can find the full details in our financial statements. We also became signature UN Global Compact this year and increased significantly our S&P Global ESG rating to above the industry average. We also strengthened the structure of our Operational Sustainability Committee, which is made up of representatives from all of our key related teams within Campari to ensure a coordinated response. Plus, the Board Committee, which is governing ESG, changes rem from just control and risk to control risk and sustainability to reinforce the focus and governance. In terms of how we track ESG, we're focusing on four main areas: environment, responsible practices, community involvement and people. In all these areas, we have and will continue to take steps to ensure the attainment of our targets as we support and educate the community. So next, an update on our cost-containment and portfolio streamlining, which we announced in our Q3 results call. On the cost containment, we've announced a target to achieve 200 basis points benefits on SG&A over the net sales in three years by 2027. And this is confirmed on the 2024 reclassified exit, leading to operating leverage and a margin-accretive profile in structured. There was some recent news in the market regarding a head count decrease, but as the consultation process is currently ongoing, I'm not in a position to give details on this topic. As you saw before, we've recorded operating adjustments of €103 million in 2024, which covered the majority of the impact expected over three years for our accruals. And the actions we're taking are supported by the House of Brands operating model as well as the of other areas, such as the structures of our global functions and regions as well as other people and non-people-related cost base with 60% of the actions already completed in the first two months of the year and benefits starting to be visible as of H2. On portfolio streamlining, we don't have any further updates, as I said. Currently, we're looking at the opportunity to view to ensure we optimize the potential proceeds we can get. Now moving on to the outlook. First, let's focus on 2025. In the context of the current low visibility, as the duration of the cyclical macro headwinds, we view 2025 as a transition year. Moderate organic full year top line growth will continue with an improving trend in H2. The timing of Easter will drive a phasing of shipments, leading to a low single-digit decline in Q1 mainly driven by the European markets, followed by progressive improvement as markets continue to get back to normal consumption patterns in the balance of the year. We expect organic EBIT adjusted margin to be directionally flat for the year driven by three things: first, the gross margin trend depending on sales mix evolution despite the confirmed COGS tailwinds; second, the step-up of A&P from 16.7% to a level within the historic normalized range of 17% to 17.5%; and finally, SG&A containment program initiated with about 50 basis points benefit on sales in 25 phased into H2. Accordingly, EBIT-adjusted performance to be skewed into H2 due to adverse phasing gross margin improvement, A&P spend and SG&A savings. We're also estimating that the recently announced 25% tariffs being imposed on imports from Mexico and Canada into the U.S. will potentially create around €50 million annualized impact for us. If we also simulate potential tariffs for Europe, the total could be between €90 million to €100 million annualized impact before any potential mitigation actions, which are currently under assessment, and to be clear, are not included in the above guidance. For 2025, specifically, the impact will be lower given that two months has passed and we also have inventory in place. Therefore, around a €35 million impact from Mexico and Canada before mitigating actions. In terms of medium/long-term outlook, we confirm our previous guidance, confidence in continued outperformance and market share gains, leveraging strong brands in growing categories with a gradual return in the medium term to mid to high single-digit organic net sales growth in a normalized macro environment before the impact of potential tariffs. Secondly, gross margin expected to benefit from sales growth, positive sales mix, driven by aperitifs, tequila and premiumization across the portfolio as well as COGS efficiencies. Thirdly, EBIT margin accretion in addition to the benefit on gross margin will also be supported by key company initiatives delivering 200 basis points overall benefit on SG&A as a percent of net sales in three years, and increased efficiency in brand-building spend. So, let me finish by saying that, again, we plan to come back and provide more details with you about our future plans towards the summer. I'm currently meeting the teams, getting to goods with all the details, and then we'll build on what we've shared so far with more specifics on our path forward. And we can now open it up for questions. Thank you.
Operator: Thank you, sir. This is the Chorus Call conference operator, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from Andrea Pistacchi of Bank of America.
Andrea Pistacchi: Yes, good evening Simon and Paolo. I have three, please, three questions. The first -- I mean probably all for Simon. But you're confident, of course, that Campari will continue to outperform the industry. And with a lot of strong brands in the portfolio, the potential you highlight for geographic expansion, and I guess, even the low penetration that you're also highlighting and relatively low market shares in some markets like the U.S. So, there's clearly a lot of growth opportunities. The question here is how do you prioritize these growth opportunities? Or what are the key growth priorities in terms of categories and geographies that you see? Is there anything different here? Anything you're thinking of emphasizing more than Campari was, brands or geographies or vice versa? And second question, which is clearly connected to this, given all these opportunities for driving top line growth, how are you thinking about A&P reinvestment going forward and the trade-off between top line and margin? I think for 2025, you said that you intend to go back to the historical 17%, 17.5% range. Do you see this also as a right range for the longer term? And my third question is more on 2025. You're not, of course, providing specific guidance, but you're saying that the ongoing, let's say, muted top line trend given the environment should continue, you've told us about Q1. Now, when you think of the comps face over the year in the various regions, the market trends, what's going on in the market, are you able to give some regional color? Sort of what regions you expect you could see an improvement versus last year and where, on the country, you feel the outlook is probably still too uncertain to call?
Simon Hunt: Okay. Great. Some great questions there. And I will caveat all of these questions, which is I'm 6 weeks in. And as a result, I will be as clear as I can be at this stage. But I'm sure you understand, I'm not going to be concrete in terms of the path at this stage as I get around the business. So, taking your questions one by one. The first one is in terms of confident outlook. What's interesting in terms of coming into the business and seeing the current negativity within the industry and in the reporting that we've seen over the past couple of months. Against that backdrop, and then you look at the company performance that with the CEO change, with the Courvoisier integration, with all the cyclical impacts that everyone was talking about and all the other challenges we've seen from macroeconomic point of view and geopolitical volatility, the business still managed to grow and deliver good growth across most of the brands in most of the markets. So against that backdrop, that's one of the reasons I'm confident in terms of the opportunity going forward is that the team shows what it's capable of doing in a very tough market. And I do think as the markets continue to improve, that puts us in a very good position. To your second question around the opportunities, you're absolutely right, we have still low penetration in many markets around the world. We also have less geographic spread than most of the companies I've worked in before. We have a very small presence in Africa, the Middle East, still LatAm is very small and in Southeast Asia, just to give you those examples. But clearly, we can't afford to develop all of these at the same time. So in terms of the funding on the A&P, I think we're going to be reviewing what we think we need to be pragmatic and have a planned growth over a number of years and work on how we're going to fund that against the existing route-to-market capabilities that we had. If I then look at what are the sources of funding, more clearly, some of the cost-containment programs that you've already heard from Paolo about will be one of the ways that we can do that. But more specifically, we're taking the time to review really the 4 areas around this, top line revenue management and what we think we can do there. The second area is around opportunities in cost of goods and further building on the CapEx investments that have been made and driving greater efficiency out of it. Third is more efficient and effective deployment of A&P through the House of Brands model, which really gives us that oversight globally for each of the brands and then finally, clearly, SG&A efficiencies. So when I take those, I don't look at the opportunities, and I work with the team, which is the process of working through now. We're in a position where we'll come out towards the summer with more information as to what our plan is. The market share ambition we have in different markets, how we want to fund it. And then really, the last part for me is also leveraging what I think is a truly unique competitive advantage, which is the Campari's, the culture and the quality of the team that we've got to work with. So you put all those things together, I think that's why I'm confident in terms of direction. And hopefully, that explains the process that we're going to work through.
Andrea Pistacchi: Yes. Any color on 2025 regionally? What -- moving parts?
Simon Hunt: Yes. I think if we continue some of the trends on this, I think we'll see some faster growth in the Americas, recognizing that the US may be impacted by tariffs. But I think it is a moving piece as we all see on a daily basis at the moment. So we're going to have to see what happens there. Better contribution from Jamaica after a tough year. And hopefully, we don't see a repeat of the impact the hurricane. And as I said earlier, the other markets are growing well. So actually, in some of the -- outside of the top six markets, you're seeing some good growth here in EMEA. We're seeing some good growth of APAC bouncing back. And as I said earlier, I think there's further opportunities to really take the portfolio into more markets. It's been quite selective around individual markets, only really pushing two or three brands. And I think there's more of an opportunity to leverage our route-to-market.
Andrea Pistacchi: Great. Thank you very much.
Operator: The next question is from Edward Mundy of Jefferies.
Edward Mundy: Good evening, Simon and Paolo. I've got three questions as well, please. So I mean the first one is this industry very well. There's clearly an ongoing debate going on around the current weakness to what extent it's cyclical and structural. I think you're pointing to the cyclicality is the biggest driver. And I appreciate that 2025 is a year of transition. I guess, what gives you confidence that the majority of the headwinds are cyclical, is the first question. And second question, you mentioned some very interesting in your opening remarks about bringing different optics to support and extract the full potential of this business. I appreciate you're only six weeks in, but any very, very early preliminary thoughts around that would be very interesting, either by -- either House of Brand or geography? And then third of all, you also mentioned a healthy tension between House of Brands and the regional market companies. I guess, where you've seen this work effectively, are there any tangible things that Campari could be doing that it's not currently doing when that's implemented effectively?
Simon Hunt: Yeah. Ed, thank you. Yeah, it’s very good questions. I mean, I think, look, in terms of the industry, there's a lot of speculation as to what is going on. And my view at this stage is that people are taking quite disparate data points and turning it into a macro trend and then reacting quite negatively about the potential for what is a highly profitable and truly global industry. So the first point on this is a moderation. Moderation has been a story for 60 years. This is not a new story. And as a result, in terms of highlighting changing consumer trends, I think that is part and parcel of actually working in this industry. I've been in it for 30 years. We've seen these challenges come before. We've heard that cognac is dead. We've heard that vodka has had its day. Rum is coming again. And ultimately on this, it's probably where I'm confident in terms of the cyclical nature of some of this feedback. I do think at the moment, though, we are in a unique situation within -- certainly from my experience. And that is the fact that for the first time, every market around world is down at the same time. As you know, quite often, there will be a market down or two markets down, but there'll be markets to offset. This is the first time we've had in China, Russia, US and LatAm, all of the markets down at the same time. And as a result, there are lots of opportunities to mitigate downward trends in some of the markets. So from a macro point of view, I do think the current economic environment is really doing two things. One is it's limiting companies' abilities to mitigate challenging markets. And the second thing is I think consumers are really looking at how they're spending their money. And I think you see that as a continued trend. As a result, we've been here before. And I do think consumer behavior will come back. I think it will be a bit different. I think we're seeing an evolution on some of the occasions. But ultimately, on this, I think we're extremely well-positioned to target those occasions in a -- with a portfolio that is both aspirational and affordable at the same time. So from that point of view, I do -- I'm positive that it is cyclical and not structural. I think the second thing in terms of different optics on it. Again, every company is a little different and the culture is different in the way they look at opportunities. At this stage, I'll just give you a point of view that, hopefully, I'll be able to build on in a few more months when I've had a bit more time with the team. But the first one is that Campari has been incredibly successful for many, many years. As a result, some of the choices have been less difficult to make, I guess, because the business just kept delivering and kept delivering. If I compare it to other companies that I've worked in, I think we've had to be more selective around the choices that that we've made. And I think that's one of the areas I can definitely bring a different perspective on. The second area would be around the continued success of the M&A agenda. I think we've got some amazing brands, but I do think that they've got further legs that we can run with what we've got. And at the moment, if you look at the brands we've acquired, really, they've got areas of strength in three or four markets as opposed to 10 or 15. And that's where we can leverage the investments that we've made in our route-to-market capabilities and in our supply chain to be more effective going forward. And that leads into the House of Brands structure, which ultimately is designed to do exactly that. It creates a single-minded focus. And I've seen both a central marketing team and a House of Brands model and various iterations of both of them before. The benefit of house model is you've got a team of people that wake up every morning and all they think about all day every day is Courvoisier. And that is different than when it's in a global marketing structure. And because they are managing the brand holistically with operations, supply chain, innovation and also working with the markets directly, it creates a really healthy tension about making sure that all the brands are getting the right focus in the right markets to deliver the corporate growth that we believe these brands can deliver. And that's really where I see it operating quite differently. And I think it will be a change for Campari, but a very positive change that fits really well with the Campari’s culture, quite entrepreneurial, really get on way that make things happen. And so, hopefully answers your questions.
Edward Mundy: Thanks, Simon.
Operator: The next question comes from Chris Pitcher of Redburn Atlantic.
Chris Pitcher: Thanks very much, Simon, Paolo. A couple of questions for me. I mean, Simon, first of all, I mean you mentioned you were holding off on acquisitions in the near-term, and it's more a focus on divestments. And I appreciate you've only been there for a couple of months. But in terms of the longer-term strategy and vision for the portfolio, I mean the heart of Campari was very much its position in aperitifs. But over the last few years, capital has been deployed into aged spirits such as Courvoisier. And maybe you could comment a bit about the Capevin spirit minority state, which looks to be a precursor to move into scotch. Is sort of the longer-term view to almost build out into that -- deploy capital into an area that's very different to the old Campari story? And then maybe in addition to that, maybe more a question for Paolo, the CapEx program continues into this year. You're expanding bourbon and tequila capacity. But once you've expanding that capacity, given everything that's gone in the industry and the potential supply imbalance, are you going to ramp those up straight away? Or should we expect a more modest outlook for maturing spirits investment? And maybe an addendum, sorry, for Courvoisier, I imagine that could well be a source of cash given you've got just short €400 million of stock on the balance sheet, which looks to be a bit much compared to what you're selling. Thanks.
Simon Hunt: Okay, Chris. Yes, look, a couple of things. In terms of the balls on M&A is genuinely that I feel that we have an eagle portfolio to work with already and that the existing portfolio has got legs beyond kind of where we are today. So I think that's the first thing. Second part is, definitely in terms of opportunities to divest. I think the reason for acquiring some of those brands has changed as the business has grown. And we're now in a position -- the strategic role that they were playing is probably less strategic than it was five, 10 or even 15 years ago. So we will have a look at divesting. But in the current environment, it's making sure we can achieve right value for those brands. I think longer term, we'll continue to have a look at opportunities in M&A. But for now, we need to focus on leveraging. We need to focus on getting the existing assets, working as hard as they possibly can. And I think in terms of more of a portfolio strategy, which is a lot of the work we're doing at the moment, I think there are probably three areas that better explain our thinking going forward. And again, hopefully, we'll have more of this as we come back towards the summer. The first is we have a unique global leadership position in aperitifs. And as a result, that gives us access to the on-premise more so than any category, I think, I've worked in. As a result, that is a door opener for the rest of the of the portfolio only in terms strength that that it has in the on-premise already and I think a lot more we can do with it. But secondly, in terms of the leveraging a relevant portfolio, which is a combination of both aged and non-aged brands. And that's where the rest of the portfolio comes in. The third part of the portfolio is leveraging our non-alc. We have a fantastic brand in Crodino. That non-alc is a new category for most companies. For us, it was originally created in 1965. So this is something that's been around for a long time as the non-alcoholic spritz. And we see some really good opportunities to leverage that going forward. So I think in terms of answering your questions, hopefully, that gives you a bit of a flavor of the portfolio that we're looking at going forward. In terms of the investment in Khaitan, it's a foot in the door. And I think we'll see how things progress there but very, very early stages. In terms of the CapEx, I'll pass this over to Paolo in just a second. But our top line view is the investment that has gone in is fantastic. It's fantastic because it's now built the capacity that we need and a lot of the capabilities that we're going to need for the growth that we think will happen over the next 5 to 10 years. And as a result, I know it's a hefty investment but puts us in a very good shape. But Paolo, I don't know if you want to cover off some of...
Paolo Marchesini: Yeah. Yeah. I think the investments, the €500 million to €600 million extraordinary CapEx plan, were aimed at basically tripling the ceiling capacity in Aranda for Espolon brand as well as tripling the bottling capacity in that plant. Then in the plan, we had the doubling of the ceiling capacity of Wild Turkey and the doubling of the bottling capacity for our aperitif portfolio. So for a number of years, I think we're fine with the investment that we've done. As you know, Simon just said. Looking at the future beyond that, we're also thinking of the possibility of outsourcing some of our bottling activities, also to diversify the -- for the business continuity perspective. On aging liquid, clearly following the acquisition of Courvoisier and the first time consolidation of the €400-plus million of aging liquid, we're sitting over €1 billion -- €1.2 billion of aging liquid, which is what we need, taking into consideration that Courvoisier on our bourbons as well as rums and Glen Grant, which is important brands to build our presence in Asia as well. We think we're fine with the liquid that we have. We don't sense that we need to lay down more and beyond what we've done the year-after-year. But on the other hand, we're not considering the possibility of divesting the liquid that we have because that would compromise our ability to develop those brands in the future.
Chris Pitcher: Thank you. Very clear.
Operator: The next question is from Sanjeet Aujla of UBS.
Sanjeet Aujla: Good evening, Simon and Paolo. Three for me as well, please. Firstly, can you talk to where wholesaler and retailer inventory levels are, particularly in the U.S.? And what your outlook is for shipments in 2025 there? Secondly, we've seen a bit of a slowdown in Espolòn. I appreciate there's some destocking in Q4. But some of the sell-out data has certainly softened through Q4 and the start of the year. So I'd love to get your take on what you think is happening within the category and Espolòn's positioning? And thirdly, can you just talk a little bit about the pricing outlook for 2025 and gross margins in a little bit more detail? I think, Paolo, in Q3, you spoke to 19 basis points of tailwind from several moving parts, would appreciate an update on that, as well, please. Thank you.
Simon Hunt: Okay. Thanks, Sanjeet. Yes. I mean, in terms of the wholesaler days at this stage, I think the team finished out the year with pretty balanced across them. A few brands are down. A few brands are up, but generally in pretty good shape in terms of doing it. So we're not starting with heavy inventory at a wholesale level. I think it really depends a little bit, in answering your question, both for wholesale and retail on what happens with tariffs. We've had the news as of yesterday. It depends what those tariffs extend into other regions. And does that put forward pressure on shipments to actually try to move things in. As I said in my comments, we've tried to maximize as best we can on short notice. The inventory positions of some of the brands that may be affected. But ultimately, I think that's going to be a bigger driver what the shipment patterns are than really the depletion trends at this stage. I think in terms of Espolòn, again, you see every day, there's been -- since the beginning of the year, there's been -- there are tariffs or no tariffs, so tariffs or no tariffs. And as a result, I think that has come to notice around the category generally. But again, we've also got to be balanced that Espolòn's performance in the on-premise continues to be extremely good. So while we see some softness in the off-premise, we're still seeing very encouraging trends in the on-premise. And as we look to really kind of sharpen our execution and our efficiency is then seeing how can we accelerate on that on-premise strength we have, recognizing the off-premise is going to be a bit crowded, through the balance of the year. In terms of price and margins,…
Paolo Marchesini: Yeah.
Simon Hunt: … I'll pass it over to, Paolo.
Paolo Marchesini: So on margins, we've clearly stated our objective of achieving, flat EBIT margin on a full year basis, excluding, as we've clearly stated the impact of any tariff increase that at the moment based of on the recent new news is costing us €35 million in 2025 for Mexico imports, which is roughly 110 basis point dilution on our EBIT margin before any mitigation, because clearly, we will develop plans. Now if you look at the key drivers of flat EBIT margin on a like-for-like basis, excluding tariffs. Clearly, we have confirmed, the intent to deliver the 50 basis point SG&A as a percentage of revenues containment. That's a tip. Directionally, we intend to step-up our A&P investment also in year 2020, -- starting from year 2025. So most likely, A&Ps as a percentage of revenues will come in at between 17% and 17.5% of NS, of net sales, vis-à-vis the gross margin, which is the point you made. Clearly, in the back end of the year, we've alluded to potential net tailwind of €30 million coming from different tailwinds and headwinds. I would not go back to that. As I have flagged before, some of those €30 million, namely €10 million have been already pulled forward into Q4 of 2024. So it's already in the base, if you will. Now if you look at pricing, clearly, pricing is extremely -- the promo environment is extremely intense, particularly in, I would say, in Europe and somehow in US, as well. Clearly, our strength in entree space is an offset to the pressure we're seeing. And on the other hand, looking at the past precedents, whenever we had a commercial dispute, we've proved to be extremely resilient. We've accepted the fact that the delisting, and eventually, we came back with stronger pricing. So there is an element of risk in pricing that we have to put into the equation. And then most importantly, I think the sales mix will play a big role here in Q2 and Q3. So jury is out, we still believe that our -- particularly our aperitif portfolio has structured so that will help us offset all the pressure that we have. But they are actually at the beginning of the year, we would rather see gross margin as a percentage of revenues fairly flattish. Now if you look at the phasing, which I believe is your other point. So starting from the top line, as the time goes by, quarter-after-quarter, we sense we will have more and more traction. Q1 is a softer top line quarter due to in terms of phasing. So that's a fact. So vis-à-vis, gross profit as a percentage of revenues, we're expecting an improvement in Q2, Q3 in peak quarter for the aperitifs. The A&P, the phasing is somehow front-loaded, so Q1 and potentially also Q2 would be negatively impacted by that. But we will implement a dates-and-gate approach. So we will not over stand beyond -- if we're not relatively confident that there is traction and vis-à-vis, the cost-containment program that it is to deliver the 50 basis point, clearly, given the fact that in many markets, that initiative is basically going through the consultation with the union. So the phasing is very much into the back end of the year of the savings. So we will have, in essence, adverse impact on the three things: negative phasing -- more than adverse negative phasing across quarters on gross profit, A&P and SG&A with gross profit improving over time, A&P stronger at the beginning of the year and lighter at the end of the year; and SG&A, the key benefits would be in Q3 and Q4.
Sanjeet Aujla: Many thanks.
Operator: The next question comes from Simon Hales of Citi.
Simon Hales: Good evening. Welcome, Simon and hi, Paolo. I've got a couple of questions, please. Maybe firstly, if you could just follow up on some of your remarks there, Paolo, in relation to the gross margin, just so I have this clear. I think you said that €10 million of the €30 million benefit that you thought was going to fall in 2025 was pulled forward into Q4. What is that? Is that agave-related? Because I think also back at the Q3 stage, we were talking about potentially on top of the €30 million further sort of benefits to COGS coming from sort of glass logistics things. So I'm just still trying to square that circle. It looks pretty conservative, your flat margin guidance, particularly as we get into the second half year and you lap through the destocking we've seen on things like Campari in Q3 and also the disruption of Jamaica. So am I missing anything? And then secondly, just on Courvoisier. Can I just ask, did Courvoisier contribute positively in aggregate to group EBIT in fiscal 2024? And as we look to 2025, are you happy with stock levels in trade for Courvoisier in your core markets? And does your overall guidance for 2025 as it stands pre any tariffs expect that Courvoisier will be EBIT-positive into 2025 as well?
Paolo Marchesini: Yes. On the first one on gross margin, it's -- the €10 million brought forward is coming from multiple rebuilds. There is a little bit of agave, as you correctly pointed out, had some positive discussion with the glass fires. Of course, we have a little bit of drift on additional D&A for next year due to the extraordinary CapEx program. And on logistic costs, we have some increase in -- so we have -- sorry, we've managed to revaluate some of the savings earlier than expected. So overall, basically, we're expecting to land on tailwinds where we wanted to be if you take 2024 and 2025 as a whole. So this is not just one element. On Courvoisier, I think -- I don't know, Simon, whether you want...
Simon Hunt: Yeah, I'm happy. I mean in terms of the day, Simon, at moment from what we've seen, there's a few markets where first acquisition. I think the team has now been cleaning up the days. They're a bit heavy in some of the markets in Asia, which the team has been working through. But in terms in terms of core markets of US and UK, no real concerns of days of stock. I think we will have to again see what happens if we suddenly start seeing tariffs come in. And again, my same comment would come back, that we would see what we could accelerate to try and mitigate some of that. But we'll have to wait and see.
Simon Hales: Good. Got it. And was Courvoisier positive to EBIT in 2024? And do you expect it to be contributing positively in 2025? Or is investment going to mean that it's probably more due?
Paolo Marchesini: Yeah. It will be positive, but the improvement will be clearly limited because this is the very first full year we manage the brand. So we step up A&P spend. And of course, over time, the objective is to improve the Courvoisier gross margin as a percentage of revenues. As you know, it's in the 35% gross margin as a percentage of revenues area. Clearly, that unsatisfactory gross margin as a percentage of revenues is coming from a number of reasons. There is underabsorption of fixed production cost at the Jernac plant given the reduced volumes, the cost of the ODAV [ph], the ones that we're currently dumping is quite wise in terms of pricing. We see in the future potential for further closing the gap versus regulated marketing incumbent in the U.S. market. Outside of the U.S., the brand is doing nicely in the U.K., in Europe. Clearly, Asia is very, very small, so wouldn't move the needle. But I think it's a combination of reduction of COGS in value per liter and as a percentage of revenues, an improvement of the net sales per liter, the price.
Simon Hales: Brilliant. Thank you very much, guys.
Operator: The next question is from Trevor Stirling of Bernstein
Trevor Stirling: Hi, Simon and Paolo. Let me just reiterate, Simon, and say welcome to the delight of the sell-side Q&A, Simon. Two questions from my side. So Simon, if you look at the six months -- six weeks so far, they feel like six months, the first six weeks and compared to all your due diligence, what surprised you about Campari now you're actually in the bowels of the organization, if you like? And second question, a little bit for you, a little bit for Paolo. You delivered 2.5% organic top line growth last year. In 2025, you should have some easy comps on destocking in the U.S. and Italy. You've got easy comps on the hurricane in the U.K. and Jamaica. And who knows where the European weather will go. But that does look like we should be thinking at something north of 2.5% in 2025. Appreciate that there's a lot of uncertainties out there, and there's a transition year and all the caveats. But directionally, 2025 should be a better year than 2024?
Simon Hunt: Yes. Trevor, thank you for your warm welcome. It's always good to be put on the spot and ask these questions. So look, I'm six weeks in. What's different from what I thought? I'll probably keep it pretty simple around three things. One is the culture. I think the Campari's culture and passion that the Campari team have for the business, for the brands is one of the strongest cultures I've seen. And as a result, I think it's a real competitive advantage that I look forward to seeing how we can really develop that going forward even further. I think the second part as well is getting to know the team. I'm very lucky to have some incredibly experienced people like Paolo, who have been with the business for a long time. You all know him very well. He knows the business backwards, I can ask a load of silly questions about what I think, and he's very open and we get on very well. So we -- it's been a good kind of opportunity for us to work together as a team. But then more broadly, beyond that as well, just the quality of the team, it's a very good team. And that gives me a lot of confidence in terms of our ambition going forward. And the third thing for me is the opportunity. I came here because I believe in the brands, I believed in the family ownership, and I believed in the potential. And again, every day I'm here, I'm feeling more positive about that decision, put it that way. And I think there's a lot that we can do with what we've got. I'm very excited about the opportunities going forward. So hopefully, I can make kind of perspective on a six-week basis. Just in terms of -- I'll hand over to Paolo and specifically on the numbers, but I think it's a fair question around are the numbers being cautious. At this stage, there is so much volatility -- if I'm totally honest, if we sat here for an outlook and told you it's going to be significantly greater than that, I think we would not be acting particularly responsibly given the volatility in the marketplace. And as a result, I think we'll continue to go after every opportunity we can but also, we need to be pragmatic about what we can't control. So Paolo?
Paolo Marchesini : Yes. And I think, Trevor, the 2.5% top line growth that we delivered last year, and most importantly, the 2.9% contribution after A&P delivery is quite robust given the perfect storm we've gone through last year. So if you look into 2025, of course, that bodes well for positive delivery. On the other hand, in Q3 of last year, we burnt our hands on a very disappointing quarter. So we do not want to end up in the very same situation. And I think there are opportunities, but there are also risks that we have to put into the equation. For a player like Campari, who is extremely disciplined in managing pricing and in putting focus on the on-trade and avoid cutting the corners by aggressively pushing brands in the off-trade, clearly, the risk of commercial negotiation is probably higher than in other cases. As you know, last year, we basically lost €25 million of revenues due to a commercial dispute. So these things happen. And so I think we need to recognize that this is why, at this stage, we're not giving guidance on top line. But overall, we feel positive vis-à-vis 2025 top line delivery.
Q – Trevor Stirling: Super. Thank you, Simon and Paolo.
Paolo Marchesini: Thanks.
Operator: The next question is from Alessandro Tortora of Mediobanca.
Q – Alessandro Tortora: Yes. Hi. Good evening to everybody. Let's say, two question. The first one is a follow-up on your comment on the aging liquid. Considering, let's say, considering, let's say, the overall performance on the working capital which kind of path we may forecast, let's say, going forward? So basically, do you see a further normalization of this ratio? That's the first question. Thanks.
Simon Hunt: Okay. I'll take it more from a brand strategy point view at this stage, which is the whole House of Brands model has been in place for, I think, about five weeks. And as a result, we want to give the teams the time to actually step back and look at the portfolio, the impact on the aging liquid. At this stage, I think it's fair to say that when you look at the brand portfolios, we under-index on higher marks on most of the aging liquids. As a result, whether or not we've got the right profile now or whether teams need to develop that over a period of time, will influence some of that decision. But I'm not sure, if that answers your question.
Q – Alessandro Tortora: Yes.
Paolo Marchesini: There is -- probably you were alluding to the one-off reduction in finished goods that we've achieved last year, whether this is recurring in coming years. So basically, the target is to keep operating working capital as a percentage of revenue is flat in the coming years. Of course, we'll do our best to improve it, but this is directionally the guidance. In terms of the forward coverage for finished goods, I think we're at a level which is, in our point of view, sustainable. Of course, you can go over and beyond that, but that would compromise at the service level. So we will not push that envelope that far. So that's in your model. So basically, the operating working capital will follow the top line increase in 2025 and in coming years.
Q – Alessandro Tortora: Okay. Okay. Thanks. And then the second question is, can -- thanks for the, let's say, early indication on the tariff impact and so on. But can you also elaborate a little bit more on how the FX, I'm referring to this dollar, but also to the Mexican peso, how this will play for you. Basically, if I have to look also at Mexico, basically, the recent depreciation of Mexican peso is relevant and would be relevant to Campari or considering your indication? Thanks.
Paolo Marchesini: Yes. Well, the way it works is that the -- under the trial pricing policies we have in place that are the ones that -- all large groups implement, the profit relating to each and any brand that sits in the legal entity, which owns the IP. So if you look at Espolon in the specific case, the owner of the IP is a Mexican company. So most of the profit is clearly sitting in Mexico. Now clearly, under arm flanks rules, you make sure that your distributing company, i.e., in the specific case, Campari-America, retains a margin that is comparable to the margin that a third-party distributor would fetch from a distribution agreement with any principal. So this is to say that basically, once you implement the import tariffs, you need to make sure that you're in market companies. So Campari America still gets a fair margin as a percentage of revenues, which means that you have to take transfer prices down to offset the negative impact of import tariffs. So this is how it works. So as I said, this is a negative impact under our current initial estimates because the news is just -- as has been disclosed yesterday, a few hours ago, is that it would come with €35 million to €36 million of negative impact, €35 million for current year, €50 million on an annual year, but this is before a mitigation. So clearly, we're running different studies from a price elasticity study, we need also to understand what competition would do to offset debt. So elasticity has to be put into the context of what competition is doing. And then clearly, there are other initiatives, new launches, you can offset some of it by pushing further Espolon in international market. So we're working on that. So we do not have announcement. So we wanted to reiterate what would be the worst-case scenario in the case we stayed on fold and simply absorb the negative impact of the import tariffs.
Alessandro Tortora: Okay. Thanks.
Operator: The next question comes from Paola Carboni of EQUITA SIM.
Paola Carboni: Yes. Hello. Hi. Good afternoon everybody, and welcome to Simon. Looking forward to meeting you in person. So first of all…
Simon Hunt: Sorry, can I ask -- could you speak a little louder? We can barely hear you.
Paola Carboni: Yeah. Sure, sure. Sorry about that. Yes, I hope you can hear me better now? Yes, my first question is about the selling -- seller dynamics in Europe and Italy, in particular in Q4. And so what's the level of stock by trade in Italy in particular? And how is the sell-out going? And secondly, I mean, a similar question in particular for the US market about aperitifs, if you can comment. I mean, I already appreciated the slide about Aperol penetration and opportunity. I was wondering if you can comment on most recent sell-out data for Aperol and what -- I mean, what do you think in terms of price positioning for Aperol in the US? Are you happy with the positioning of Aperol and the occasional drinking that Aperol has -- occasion of consumption that Aperol has in the US? And then a further question, still on the US market, is about the considerable outperformance of RTDs. We are seeing in the last few quarters overall at industry level. I was wondering whether you might consider more, let's say, different approach, let's say, on RTDs in your portfolio in this respect for the US market and possibly -- I mean, let's say, position your portfolio better to leverage on this trend, if it's worthwhile or not. Thank you.
Simon Hunt: Okay. Into the three questions there. First one is sell-in, sell-out in Europe. I mean generally, as you saw in the chart, it was in the presentation. We're in good shape in terms of the sell-out data versus sell-in. So not starting with heavy inventories anywhere. I think we're a good position across all the markets in Europe. I haven't seen anything there that is concerning. In terms of the second question around the potential of Aperol in the US, as I said, interesting on this. Again, we talk about -- back to Trevor's question around opportunities. When half of Americas never heard of Aperol, it's certainly -- it's a good opportunity for us. You then look at the distribution opportunities we have on getting Aperol into bars. There's a huge opportunity there. And that leads into the fact -- not forgetting that while the sell-out data, particularly in the first set that we've seen in this year, is negative in the off-premise, you got to remember that 60% of Aperol sales were in the on-premise, and we continue to do very well, as I said earlier. So I think, ultimately, on that, the potential is there. From a pricing point of view, it comes down to end drink. That's really where the focus should be and how much in Aperol Spritz is in the on-premise. And that's where we see a huge variation across the US given the states, given the pricing. But at this stage, given the positive performance we've seen in the on-premise, we don't see the pricing being a barrier to the opportunity for the brand going forward. I think the last question just on ready-to-drink, yes, ready-to-drinks are doing well. Convenience play is interesting. It is driving a lot of the numbers at the moment. And I think, look, it's an area where Campari has an established history. When you talk about ready-to-drink or ready-to-serve, I think Campari still learning. Just to bear with me, but 1932 was our first ready-to-drink. I'm not sure how many other companies can actually say that with Campari Soda. So I think we have an area of expertise here. We understand the category quite well. And yes, there's an opportunity on our brands. Exactly what, where, how, we don't know yet. And that's part of the process that we're working through the House of Brands. And we'll come back closer to the summer a bit more of an update around what opportunities we see in that space and what we think we can do given our fairly unique heritage in that space.
Paola Carboni: Well, thank you very much.
Operator: [Operator Instructions] Gentlemen, there are no more questions registered at this time.
End of Q&A:
Simon Hunt: Okay. Great. Thank you all very much for your time. I look forward to hopefully seeing you in person in the next few weeks or months. Thanks for your time.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.